Operator: Greetings, and welcome to Lumen Technologies’ Second Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to turn the conference over to Jim Breen, Senior Vice President Investor Relations. Jim, please go ahead.
Jim Breen: Good afternoon, everyone, and thank you for joining Lumen Technologies second quarter 2024 earnings call. On the call today are Kate Johnson, President and Chief Executive Officer; and Chris Stansbury, Executive Vice President and Chief Financial Officer. Before we begin, I need to call your attention to our Safe Harbor Statement on Slide 1 of our second quarter 2024 presentation, which notes that this conference call may include forward-looking statements subject to certain risks and uncertainties. All forward-looking statements should be considered in conjunction with the cautionary statements and the risk factors in our SEC filings. We will be referring to certain non-GAAP financial measures reconciled to the most comparable GAAP measures which can be found in our earnings press release. In addition, certain metrics discussed today exclude costs for special items as detailed in our earnings materials, which can be found in our Investor Relations section of our Lumen website. With that, I'll turn the call over to Kate.
Kate Johnson: Thanks, Jim. Good afternoon, everyone. Thanks for joining. I'm cognizant of the timing of this call, because over the past two days the markets have been a bit noisy with lots of uncertainty about the health of the economy in the next six to 12 to 18 months. And in contrast, the announcement we made last night about Lumen's pivot to growth is all about building critical infrastructure to support the AI economy for the next several decades. And to net it out, there are three key takeaways from our call today. First, Lumen's enterprise operational turnaround is progressing well with continued sales momentum across our growth portfolio and further improvement in customer satisfaction. We are also executing extremely well in our Quantum Fiber business. Second, Lumen has been anointed as the trusted network for AI by some of the most important technology companies on earth. With over $5 billion in major partnership inked to date and visibility to nearly $7 billion more in opportunities, we see the market for Lumen's private connectivity fabric as providing a major positive momentum shift for this company. Third, given our success in forging these partnerships, we're seeing a significant improvement in our overall liquidity profile, further securing our ability to transform the company and pivot to growth. Let me give some detail on the operational turnaround part first. As I've described on prior calls, we're focusing on delivering dramatically improved customer experiences from quote to cash, giving customers a reason to choose Lumen for core network services. The best way to measure that progress is to look at three areas, sales, customer sat, and securing the base. I'm delighted to share our progress across the fundamentals. After a blockbuster Q1, we continue to see strong sales performance in the second quarter, with North American large enterprise and mid-market sales up nearly 26% year-over-year. Additionally, large and mid-market new logo sales increased 10%, and net total contract value for all channels was up nearly 40% year-over-year. Two notable wins are Uber, who's leveraging custom fiber waves from Lumen to ensure unparalleled connectivity between their data centers, and the state of New Mexico, who's using Lumen to build its first statewide education network. To complement these sales results, we saw another step-function improvement in customer sat in our service delivery process with year-over-year transaction net promoter scores rising 10 points for large enterprise, 35 points for wholesale, 37 points for mid-market, and a whopping 42 points for public sector. Once again, every one of our enterprise customer channels shows significant year-over-year improvements which should manifest in lower churn, higher gross sales, and improved overall revenue growth over time. Finally, we're making progress securing the base with our relentless focus on five key levers: installs, renewals, migrations, usage, and disconnects. We think the best way to measure our progress here is to compare ourselves to market trends. And once again, we saw less revenue declines this quarter than our industry peers. We continue to fine tune our motions, developing and launching new product bundles and educating our customers on the best migration path from legacy to modern technologies. And while we're excited by the progress for our operational turnaround in legacy core network services, the real breakthrough to share with you is how we're repositioning the company for the future in the growing market of AI. Two ways that we're repositioning Lumen. First, we're cloudifying telecom by delivering a digital platform to enable enterprise customers to digitally design, price, order, and consume secured network services quickly, securely, and effortlessly. We're thrilled with our progress driving adoption of our Lumen Digital flagship network as a service offering with companies like Versa, T-Marzetti, and DXE Technologies, as well as many other companies across industry. Okay. The second way we're repositioning the company for growth is with Lumen's private connectivity fabric. To summarize what's happening, the dramatic rise in AI innovation is bringing explosive growth in data center build-out. And data centers simply have to be connected. We're honored that technology powerhouses like Microsoft and several other big technology firms are choosing Lumen to build their AI backbone. And they're choosing us for two reasons. First, our world-class fiber network with its unique routes, vast coverage, and state-of-the-art fiber solutions from our strategic partnership with Corning. And second, the digital platform we're building that makes consumption quick, secure, and effortless. With $5 billion in closed deals so far and the active discussions we're having with a long list of additional customers, we believe Lumen is becoming known as the trusted network for AI. The growth in this type of sale will be meaningful and accretive to our cash position in the short term and positions us for long-term predictable revenue growth in the future. Looking ahead, I'm sure you, like everybody else on planet Earth, is wondering how big are these networking deals going to be for AI and what's the market look like? So I'm going to share our early hypothesis with you. We think there are likely to be three distinct phases. The first phase, as evidenced by our closed deals, is with huge technology companies, cloud providers, social platforms, et cetera, who are AI thought leaders and are building and training AI models responsible for the explosive growth and data center build-out. They were the first to recognize that today's Internet simply won't serve tomorrow's AI economy, and they're partnering with Lumen to massively expand their connectivity infrastructure. We think the next tranche of demand is likely to come from the AI model inference phase, probably with forward-thinking enterprises who see AI as a way to transform their businesses. Think financial services, health care, and retailers to start. And finally, in the third phase, we suspect breakout growth and demand for connectivity and digital on-demand network services will come when AI starts talking to AI in rings and exchanges. We're in very early discussions with strategic partners who are helping shape our view in this space. Please note that these recent announcements, which were not included in our 2024 guidance, fund the necessary upfront OpEx and CapEx to ramp and scale these new AI workloads. Additionally, these deals provide funding for continued innovation and strategic cost takeout. And that leads me to my next important piece of news. Today we're announcing that we see a pass at creating $1 billion in cost takeout by the end of 2027. This next cost wave of efficiency will come from deeply strategic infrastructure simplification in three major areas: network, product portfolio, and IT. These infrastructure projects are rooted in network standardization. We're now integrating the networks from four different architectures, engineering them into one simplified, standardized, and unified network Fabric. This move provides a step function change in the level of simplification that we can drive inside the company, providing breakthrough improvements in our customer and employee experiences. Let me provide just a little bit more color on the impact of the plan. Our target is to ensure that the majority of our net new services are on this unified network fabric by the end of 2025. This will enable massive simplification in our product portfolio, enabling us to significantly reduce our product count from thousands of product codes to a target of around 300, a massive simplification enabler across Lumen and our ecosystem. Once we unify the network and simplify the product portfolio in our enterprise business, we'll go after technical cost savings in IT. For example, we'd like to compress our 24 order management systems to a target number of one and reduce our 17 billing systems to, well, you guessed it, a target of one. This work is going to take a few years to complete, but it will yield material and enduring bottom line benefits. To reemphasize, the work wouldn't be possible without the additional liquidity gained from our private connectivity fabric sales, which also allows us to self-fund a spending increase in key areas to drive out these costs for the long term. To summarize our enterprise business transformation efforts, we've got the cash, we've got the assets, and we've got a world-class leadership team needed to execute on the next phase of our transformation, unlocking breakthrough growth opportunities and strategic cost savings moving forward. And finally, I'm really delighted to share that our mass market segment is showing steady results improvement. We continue to opportunistically deploy capital, enabling 136,000 locations in Q2, on track to deliver 500,000 new fiber enabled locations this year. We also continued our strong fiber sales momentum from first quarter 2024, as indicated by our record level of 2Q fiber net ads of 40,000. And we're happy to announce we've reached over 1 million fiber subscribers in July. This is a significant milestone and reinforces the value of the product we're delivering to the consumer. And it also shows our mass markets team really knows how to execute well. With that, I'll turn the call over to Chris.
Chris Stansbury: Thanks, Kate. Before I discuss the quarter, I want to take a moment to reflect back to Q2 earnings last year. Since that time, we've successfully completed a refinancing that addressed over $15 billion of our debt and extended over $10 billion of our maturities. And we secured access to over $2.3 billion in new liquidity. And we launched our PCF solutions as well as our suite of new digital offerings. And we generated early growth in our public sector and the growth segment of our large enterprise business. And as of yesterday, we announced the largest sales in the company's history, totaling nearly $5 billion, fueled by our AI hyperscaler customers. This is all as we drive a network unification from four discrete enterprise networks to one, resulting in over $1 billion in cost efficiencies. None of this would be possible without our world-class management team who's executing on our vision. We're moving with pace and we're not done. The recent developments in our business reflect major proof points in terms of early and material execution on Lumen's transformation path forward and we are pleased the market is starting to value this opportunity. We believe we're in the first inning of the AI growth opportunity for our fiber infrastructure and Lumen Digital Services. Accordingly, the positive impact these private connectivity fabric sales will have on our financials are powerful and clear. First, we believe the progress we've made on driving PCF sales these past few months is just the beginning of a vast new TAM, which brings long-term, sticky revenue offsetting higher churn legacy product declines. Second, we estimate that the cash received from PCF sales will close any free cash flow deficit between now and when we reach sustainable positive free cash flow growth. Third, we will have ample free cash flow to invest in our transformation and reduce debt. And finally, in our view, PCF sales are significant and incremental to the overall value of Lumen's business. The building blocks of our value creation are clear, starting with our nationwide fiber network. We believe Lumen is one of the few companies with the resources and scales to provide the critical infrastructure for AI, and the partnerships we've announced represent a large and growing opportunity to provide private connectivity fabric solutions. We see a runway to growth as we transform telecom, and we believe that sets up a value creation path for Lumen, all as we continue to execute on our core strategic goals of commercial excellence, securing the base, and innovating for growth. As Kate mentioned, our sales growth engines within our large and mid-market enterprise channels in our business segment, along with our mass market segment, showed solid performance this quarter with large enterprise and mid-market sales, both up over 26% year-over-year. Additionally, Quantum Fiber broadband net additions of 40,000 again sets an all-time record and we passed the 1 million total fiber subscriber mark in July, outstanding work by the team. While consolidated revenue and adjusted EBITDA still fuels the impacts of legacy declines, we are encouraged by improvements we're making in the business. Now let's move to the discussion of financial results for the second quarter. On a year-over-year basis, total reported revenue declined 10.7% to $3.268 billion. 36% of the decline was due to the impact of divestitures, commercial agreements, and the sale of the CDN business. Business segment revenue declined 11.4% to $2.577 billion, and approximately 42% of that decline was due to the impact of divestitures and commercial agreements. Mass markets segment revenue declined 8.2% to $691 million. Adjusted EBITDA was $1.011 billion, with a 30.9% margin and free cash flow with negative $156 million. Next, I'll review our detailed revenue results for the quarter on a year-over-year basis. Within our North America enterprise channels, which is our business segment excluding wholesale, international, and other, revenue declined 3.6%. We continue to expect public sector to be the first channel to pivot to sustainable growth later this year, followed by mid-market and then large enterprise. Overall, North American business declined 5.5%. Large enterprise revenue declined 6.9% in the second quarter. Our grow revenue was approximately flat year-over-year with continued pressure in nurture and harvest product revenue. We expect continued variability in trends as we drive towards overall stabilization. Mid-market revenue declined approximately 7% year-over-year with improvement in grow, offset by nurture and harvest. Public sector revenue increased 8% year-over-year driven by strength in our grow and other product revenue and partially offset by declines in nurture and harvest. We continue to see traction with large bookings in this space, which take time to ramp to revenue, and these wins give us continued confidence that public sector will be the first sales channel to return to sustainable growth this year. Wholesale revenue declined approximately 10% year-over-year. The harvest portion of the wholesale portfolio, which is comprised of products like TDM, voice and private line, saw revenue contract by 17.9% year-over-year in the second quarter. This is primarily driven by telco partners that are selling legacy services. Our harvest product revenue will likely continue to decline over time and is an area that we will manage for cash. International and other revenue decline 67.1% driven primarily by the divestiture of our EMEA business and the sale of select CDN contracts in the fourth quarter of last year. Moving to our business product lifecycle reporting, I'll reference the results based on our North America enterprise channel. The 3.6% year-over-year decrease was due to declines in our nurture and harvest segments, partially offset by grow, particularly enterprise broadband, dark fiber, and IT. While results can vary at any quarter, we expect sustained strength in the grow product revenue as we execute on our core turnaround. Within nurture and harvest, we continue to expect headwinds in these markets to decline in categories. However, we continue to take proactive steps to migrate customers to newer technologies, and these actions improve our customer's experience and will provide an uplift in customer lifetime value for Lumen. Additionally, we will continue to pursue opportunities for cost optimization when we help customers migrate from off-net legacy and TDM-based services onto Lumen's network. Within North American enterprise channels, grow products revenue increased 1.5% year-over-year. Grow now represents approximately 43% of our North America enterprise revenue and for our total business segment carried in approximately 80% direct margin this quarter. Nurture products revenue decreased 12.1% year-over-year. Nurture represents 30% of our North American enterprise revenue, and for our total business segment, carried an approximate 66% direct margin this quarter. Harvest products revenue decreased 10.6% year-over-year and continues to be negatively impacted by declines in TDM-based voice and private line. Harvest represented approximately 16% of our North America enterprise revenue in the second quarter. And for our total business segment, they carried an approximate 77% direct margin this quarter. Other product revenue improved 18.5% year-over-year. As a reminder, other product revenue tends to experience fluctuations due to the variable nature of these products. Now moving on to mass markets. Our fiber broadband revenue grew 14.6% year-over-year and represents approximately 38% of mass markets broadband revenue. During the quarter, fiber broadband enabled location ads were 136,000, bringing our total to over 3.9 million as of June 30 and pacing towards our targeted annual 500,000 bill target this year. We also added 40,000 Quantum Fiber customers, which is our best fiber net add quarter reported to date, and this brings our total to 992,000. Fiber ARPU was $62, up slightly, both sequentially and year-over-year. Importantly, we reached a significant milestone of 1 million fiber broadband subscribers in July. At the end of the second quarter, our penetration of legacy copper broadband was approximately 9%, and our Quantum Fiber penetration stood at approximately 25%. As we look ahead, we will continue our market-by-market assessment of the mass market's business as we explore a range of strategic options to maximize its value. Those options include potential joint ventures, wholesaling arrangements, or future divestitures to generate incremental cash. Now turning to adjusted EBITDA. For the second quarter of 2024, adjusted EBITDA was $1.011 billion compared to $1.229 billion in the year-ago quarter. Second quarter EBITDA was positively impacted by our strong first quarter sales bookings, as well as efficiency improvements from our second quarter cost actions and overall margin management. Special items impacting adjusted EBITDA totaled $136 million. The majority of special items in the quarter were related to severance. For the second quarter of 2024, our adjusted EBITDA margin was 30.9%. Capital expenditures were $753 million. And free cash flow, excluding special items, was negative $156 million. As we previously stated, we're leaning into our network investments to support the rapid growth and demand our customers are facing. Now, before I provide an update on our 2024 financial outlook, I'd like to provide some color around the near-term impacts of our PCF sales and the additional liquidity and flexibility we have. As Kate mentioned, we're moving full speed ahead in investing in our transformation, which includes additional spending on network and systems unification that will ultimately lead to more efficient operations and a better customer experience. Given our improving liquidity profile, we intend to pull forward some expenses from 2026 and 2027 into 2025, accelerating the timeline of our cost takeout goals. With the investments in transformation and costs associated with recent PCF sales, and in conjunction with continued legacy revenue declines, directionally, we see 2025 EBITDA below 2024 levels, with a significant rebound in 2026 and growing thereafter. We will provide more detailed 2025 guidance on our fourth quarter 2024 call in February. Now moving on to our financial outlook. We now estimate fiscal year 2024 EBITDA to be in the range of $3.9 billion to $4 billion. CapEx in the range of $3.1 billion to $3.3 billion. Cash interest in the range of $1.15 billion to $1.25 billion and free cash flow in the range of $1 billion to $1.2 billion. This guidance includes some incremental OpEx, CapEx, and cash flows associated with our PCF sales growth, the gain on a sale of an investment, as well as incremental spending to ultimately improve our cost structure and margins. This additional OpEx and CapEx will be fully funded upfront by incremental PCF cash flow. And with that, I'll turn it back to Kate for closing remarks.
Kate Johnson: Thanks, Chris. Before we open up the call for questions I wanted to pause to acknowledge where we are. AI represents one of the most significant technology shifts in history. Every person and every organization on earth will be impacted. AI needs data, data needs data centers, and data centers need to be connected. What was once an overbuilt fiber network is shifting from commodity to something much more valuable. At Lumen, we aren't streamlining and digitizing our operations to try to find growth in legacy telco markets. Instead, we're building a digital platform to help us become the trusted network for AI so we can capitalize on the markets that will likely see explosive growth for decades. This is Lumen's moment. We are playing to win. This is the business that we are in. Operator, we're ready for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Your first question comes from the line of Michael Rollins with Citi. Please go ahead.
Michael Rollins: Thanks and good afternoon. First, with respect to the $5 billion of sales, curious if you could give some additional color on the competitiveness of that process? Are these customers using single vendors for the solution or multiple vendors? So this is something that's not just helping Lumen, but maybe the ecosystem. And then for Lumen specifically, can you share the mix of assets that are existing fiber, existing conduit, leveraging assets that are already out there from you versus what you're building is new infrastructure. And as you consume some of those fiber inventories such that investment mix or margin mix might look differently over time as you continue to sell within this new [PCF] (ph) segment? Thanks.
Kate Johnson: Hey, Mike. So I'll take the first the first part, I’ll let Chris do the second part. So first part, what does the competitive landscape look like? Look, obviously, I'm a little bit biased, but here's my observation. Our network is the crown jewel that we always thought it was. It's got great coverage, unique routes, it's diverse and it's got state-of-the-art fiber because we've been taking care of it for a long time. And that's giving us great positioning with our customers. They're looking at sometimes building some routes by themselves. Most of the time understanding that we can get them there faster with higher quality and better service and that's the observation across the deals we've won so far.
Chris Stansbury: Yes. And just on the economics, it's a really good question, and then I'm not going to be evasive with you. But the reality is, it's really complicated. So it's a deal to deal, every deal is different in terms of where they want to go from and to, how much capacity they need. And inevitably, you will end up with a combination of existing fiber, new fiber, existing conduit, new conduit. It really does vary deal to deal. Now, on that, we'll never disclose it, because these are called private connectivity fabric for a reason. And our customers want to keep it private because it's a competitive secret that they have as is it a competitive secret for us. So, it will vary deal to deal, but the video that we released, I think, gives a good flavor on average.
Michael Rollins: Thank you.
Jim Breen: Next question.
Operator: Your next question comes from the line of Sebastiano Petti. Please go ahead.
Sebastiano Petti: Hi. Thanks for taking the questions. Just had a quick question on the free cash flow guidance. Can you help us think about, is that fully just driven by the customer deposits from the just private custom fiber -- fabric AI? Or is that also reflective of the -- I think, Chris, you said gain on the sale? And in addition to that, can you help us maybe think -- does the free cash flow uplift that you're seeing here. Is that something that we should expect to stay on the balance sheet in 2024 or is this something that will probably get spent as you're probably -- to fund the increase in CapEx that you've guided to today? Just trying to help think about the commencement of the build-out in pacing? Thank you.
Chris Stansbury: I'll give you credit, because you asked one of the great questions on the call early. So the cash flow guidance for this year is driven by both some of the upfront cash received. We haven't received all of it, obviously, for the PCF deals, and it is also related to the asset sale that we did. So both of those things contributed to the free cash flow. As it relates to where we go from here, and again, I want to really be really careful because we're not giving 2025 guidance yet. But we haven't received all the cash yet. That will be received some this year, some next year, some the following year, because again, these are massive construction projects. They take time. And we will start to spend the CapEx as evidenced by our guidance. This year and have more next year. But the point is, on these deals, we're not financing the build. So we get paid in advance of the construction. The only thing that is kind of hanging as you go out 12 months is, we pay tax on the cash received. So even though the revenue is amortized, the IRS likes to get paid on a cash basis for these deals. So that will be something that we deal with, and we'll get more color on that as we move through. But high level, I would say that next year free cash flow looks good.
Sebastiano Petti: Thank you.
Jim Breen: Next question.
Operator: Your next question comes from the line of Batya Levi from UBS. Please go ahead.
Batya Levi: Great. Thank you. Looking at the EBITDA guidance change for the year, is that purely related to the incremental OpEx for getting ready for these network [indiscernible]? Is there any change in terms of the underlying trend? And can you just go over the $1 billion cost savings you expect over the next three years, the pacing of that? I think you mentioned some of the expenses will be pulled forward. And then, is there any incremental cost to achieve that savings through the next three years? Thank you.
Chris Stansbury: Yes. So as it relates to this year, the vast majority of the -- there's obviously a lot of things that go on inside of EBITDA. But the main driver here are the TCF deals. And the OpEx investments we need to make to get that construction factory up and running in a more scaled way. It's a group that exists. It's one of Lumen's core competencies, but the size of that group needs to get substantially larger to support just the quantum of the deals. And so, that's the key driver. As it relates to the $1 billion cost takeout, we haven't -- again, I want to stay away from 2025 guidance as much as I can. We're not expecting those savings to start until next year. There will be some investment next year, and we'll disclose that when we give guidance for next year. But my comments on just trying to dimensionalize where we go from here, are really around the fact that we're taking the opportunity near term balance of this year and 2025 to really pull forward investments we were going to have to make in 2026 and 2027 to get to a place where our IT systems, as Kate mentioned, are more consolidated, simplified to drive a customer experience. And I would say, if there's one key driver in that it's going from what our four enterprise networks today to one. And that is a legacy that exist today that needs to be cleaned up because it just drives a much more seamless customer experience as we go forward.
Batya Levi: Got it. Thank you.
Jim Breen: Next question please.
Operator: Your next question comes from the line of David Barden from Bank of America. Please go ahead.
David Barden: Hi, guys. Thanks so much for taking the question. Chris, I guess it's not so much a question is, I want to put forward a hypothesis and I want you to tell -- it would be, I think, super helpful for people to share what you think is right or wrong about it. So we've got this $5 billion deal, but the majority of the cash is coming in, in the next three to four years, and the majority of the cash of that cash is also going out the door in the next three to four years. So any kind of cash inflow we're getting is kind of a timing benefit relative to the CapEx that's required under the contract. And if it's a $5 billion contract and the majority of it is related to the construction piece, let's just call it $3 billion round numbers. That means that the actual [indiscernible] sale piece is about $2 billion. And as you shared in your video, that [indiscernible] revenue doesn't start until after the build is done, which would be probably year four or five, over a 20-year period, $2 billion is a $100 million in revenue a year, very high margin, maybe $85 million in EBITDA, tax affected, as you've mentioned in your video, maybe, again, the taxes will be timing related, but let's just call it $65 million of tax-affected cash flow over a 20-year period. So a $5 billion deal announcement turns into $65 million of cash flow five years from now, what's right and what's wrong about that assessment?
Chris Stansbury: I'd say most of it is wrong. The -- Yes, I think, David, here's where we go. So again, it's multiple deals that added up to the $5 billion. Not just one. And in the video, we talked about a cash contribution margin, which is effectively the EBITDA less the CapEx, pretax that's roughly in the ballpark of our existing EBITDA margin. So you do the math on that, that will give you the pretax free cash flow associated with these deals. And that cash flow, to your point, does come largely at the front end. Now there's ongoing payments for space and power, for operating and maintenance if they want us to run the networks for them that gives us nice cash flow over the years. But the tax would also be front-end loaded. So the key thing here is that, in one set of deals in those $5 billion deals that the net after-tax cash generated from that fully fund the liquidity gap that we've talked about for so long on these calls. It's over, it's behind us. And we're not done. So as we said, there's another $7 billion of discussions underway right now. And this trend will continue. The demand isn't one and done. So that's the key difference. So there's more cash in the deal than you've laid out and there's more to come.
Kate Johnson: And additionally, it's not one deal. The $5 billion represents multiple customers, and each contract is very different. I think that's important to stress.
David Barden: Thank you. I just want to follow up on that, Chris, if I could. So just to make -- so if the majority of the cash is coming in, as you say in the press release, in the next three to four years, and it's also going out in the next three to four years. So then you've got this minority of the $5 billion that's been realized over the following 20 years. Is that -- what's -- so there's a net kind of zero. And then there's this tail of income. Is that -- how is that not what you said in the press release.
Chris Stansbury: I'm not -- I guess I'm not following and we can do it in the after call. I'm not following the net zero. The net is significant and fully funds the liquidity gap that you and your peers have modeled over the next number of years. That's now fully addressed. So -- and you're right, then, yes, the renew leads in over a much longer time frame. But that cash allows us to fund the transformation. It allows us to pay down debt and start to attack the debt structure. And again, that's with this first bundle of deals that total $5 billion and there's more coming.
David Barden: And so just my last follow-up. So when you say in the press release that the majority of the cash comes in the next three to four years, and there's a roughly equal amount of disbursements, so that the CapEx related to the deal is smaller than -- so if I add the deficit and the CapEx necessary to win these deals, that gets us to the breakeven, the liquidity that you're talking about.
Chris Stansbury: That's right. So said another way, David, the cash contribution, the $5 billion, let's the OpEx to support it less the CapEx to support it, leaves us with an amount of cash. We pay tax on that cash. And the after-tax impact of that fully funds the liquidity gap that we have modeled over the next few years, from this first kind of deals.
David Barden: Okay. Thank you, Chris.
Jim Breen: Operator, next question please.
Operator: Your next question comes from the line of Jim Schneider with Goldman Sachs. Please go ahead.
Jim Schneider: Good afternoon. Thanks for taking my question. I was wondering if you could maybe give us some color on -- within the $5 billion of closed deals, the diversity of customers within that is that a few large hyperscale type customers? Is it a much longer tail of customers, including corporates? And then if you could give us any kind of sense about the same kind of color on the additional $7 billion you're pursuing now?
Kate Johnson: So the first $5 billion is that first tranche that I talked about. It's hyperscalers, it's social platforms, it's huge technology companies, it's a cloud company. As everybody building the AI models, right? Where they're building them and they're training them. They're seeing the data flows and they're saying, holy cow, current networks simply don't serve where the state of growth is going. So they're building out their data centers because data needs compute. And that is driving the requirements that they bring to us about, "Hey, can you get me from here to there? And by the way, can you connect me back to the main Internet highways so that I can continue to serve my customers there as well.” So that's the first one. The second tranche is -- and we're just at the really early phase of that piece. Which is enterprises that are using the AI models. And frankly, we're one of them. We're using AI models to transform our business. We have great partnerships with all of these guys to try and take cost out, drive efficiency, gain insight, more intelligent services. And those enterprises that are leading the way are in health care, retail and financial services for the most part. And they're doing it in a different way. It's not necessarily an end-to-end custom private network per se. But it's a little bit of fiber and some advanced services on top of it, dramatically increasing the bandwidth and performance needs.
Jim Schneider: Thanks. And then maybe just relative to the network build-out itself. I believe at your Analyst Day last year, you referenced that you had 6 million inner city fiber route miles in the network, and you were planning on doubling that, which is, I think, the same commentary you made on one of your earlier announcements. So is -- with the pre-funding and the revenue associated with these deals, is that simply accelerating the build-out you already had contemplated and pulling them forward in time? Or is there any change to the profile or complexion of that build plan?
Kate Johnson: So, I'm -- I struggled to figure out where the baseline is from your question. I'll just give you continually what's happening. We are increasing connectivity both inside the metro areas as well as in the long-haul networks. And that's with new routes and pulling more fiber on existing routes. And so it's a combination of all of it. And each deal is a bit different when you overlay them all together what you see is a doubling in metro and a significant increase in long haul.
Chris Stansbury: I would just add to that, that the fiber that we put in the ground already and the fiber that we're adding today supports 400 gig waves. And over the next two years, that will scale to 800 and 1.6 terabytes. So the fiber that's going in the ground has enormous expandability. And I don't think -- at least I'm not aware of anyone else who's investing at that rate to meet the needs of customers.
Jim Schneider: Thank you very much.
Jim Breen: Next question please.
Operator: Your next question comes from the line of Jonathan Chaplin with New Street. Please ask your questions.
Jonathan Chaplin: Great. Thanks for taking the question, guys. First, just to follow up on David's question. I wonder if you could help contextualize the recurring revenue piece that comes on the back of these massive transactions that you're doing? How should we think about these transactions driving growth in the grow segment, presumably this is sort of all large enterprise at this point? And then given how important this sort of transformative event for the business is, unlike embarrassed to be asking about mass markets, but you did really well on net adds in mass markets this quarter. It's been sort of a pretty dramatic acceleration in the business over the course of the last two quarters. And I'm wondering if you can give us some context to what's driving that? And also just speak to sort of the strategy around ARPU a little bit. It looks like ARPU is well below peers. I assume that's sort of a conscious decision to drive penetration. I'm wondering if you -- if there's sort of a plan to close the gap over time? Thanks.
Chris Stansbury: Yes. There's a lot in there. I'll try to remember. As it relates to the PCF deals, we did say in the video that once you get to scale, and again, as David pointed out, it's anywhere between that three and five year window. In some cases, not all, customers will ask us to run the networks, we will also provide space and power. So again, if you're powering a signal from San Francisco to New York, along the way you're going to need huts where you can put rats, you can put the equipment that powers those signals. And we said that on average, think about that as roughly 10% of the total contract value. And that revenue and cash will be earned in the year the services are provided. So that's, I think, a good broad guideline. As it relates to mass markets, yes, I could not be more proud of the team. They're killing it. There's an intense focus on driving marketing execution and really focus on both enablement and penetration. And they kept the enablement machine chugging along, but we're just super pleased that the -- is the growth in penetration. They're executing flawlessly right now. On ARPU, that's part of the strategy, yes. I mean we're not trying to over or under price. In fact, we have raised prices where we see the opportunity to do so, and we'll continue to do that. But we're pleased with the way everything is working in combination ARPU penetration, et cetera. So more to come.
Jonathan Chaplin: Thanks, guys.
Jim Breen: Next question, please.
Operator: Your next question comes from the line of Nick Del Deo with MoffettNathanson. Please go ahead.
Nick Del Deo: Hi. Thanks for taking my questions. First, Chris, the comments you've made around the cash contribution margins associated with these deals seem to apply mostly to the $5 billion in signed deals. As we think about future deals, like the $7 billion you have in negotiation, would you expect those to have more favorable cash economics by leveraging some of the fiber being put in the ground for these earlier deals, or should they be kind of in the same ballpark?
Chris Stansbury: Yes. I would say, on average, I think the guidance we gave is pretty good. Again, it's hard to say. So I mean I can tell you that -- we've had discrete decisions that we've made along the way of do we make some incremental investments now on routes where we may have slightly less capacity to try to help for the future, and that would obviously be a benefit to your point. But then we don't know yet the full scale of what all of the customers want, and that may require us to do additional things that we don't have today. So it's just -- again, given the quantum of the deals and the complexity it's hard to answer right now. But I would tell you that I think the guidance we gave is good general guidance around how to think about it.
Nick Del Deo: Okay. So not trying to get too far ahead of signed deals in terms of capital commitments and whatnot?
Chris Stansbury: Right. I mean, look, we will continue to invest in our network as we have for years, and I view that more as kind of baseline responsibility. As it relates to big CapEx expansions, we will be very measured in how we do that. This is not a gamble. We will -- if we see a route where we know there's going to be demand in the future, and we're already pulling fiber, we may pull more. If it's a route where we've got lots of capacity, we won't. So it really is route by route mile by mile that we do those analytics, and it's actually really impressive what the team is doing as they model this out. That's it's a core capability. And quite frankly, I think it's one of the reasons in addition to the digital services that we can offer these customers that customers come to Lumen.
Nick Del Deo: Okay. Okay. And then Chris, you quickly alluded to it in your prepared remarks, but I was hoping you could expand a bit on how you're thinking about cannibalization risk, whether current revenue or revenue that you otherwise might have generated. So for example, if you're selling someone dark fiber, I'm guessing you're not selling them waves on that route going forward?
Chris Stansbury: So think about it -- think about it this way, private connectivity fabric is a bundle of everything from dark fiber to wave to IP. It's your network, your way. And these first deals happen to be very large infrastructure, dark fiber kind of deals with some of the other things mixed in. As time goes on, I would expect that mix to continue to evolve. And so it depends on what -- again, what the customer wants, where they want to get as to whether we've got some of that fiber already in the ground or whether we need to pull more.
Kate Johnson: I'd also like to add as person coming from the tech world into telecom, there's this proclivity to worry about cannibalization rather than evolution of portfolio. And I think that's how we got to a place of being quite overbuilt. And as I look at the demand for these services and our strategy moving forward, we are going to prioritize penetration of our assets to deliver return to our shareholders. And I think that, that's going to be very accretive long term.
Chris Stansbury: Yes. This is not to be very clear. We haven't even talked about cannibalization. This isn't cannibalization of legacy at all. This is about net new and where we're going. And this is why we see the upside that we see in our ability to drive returns for shareholders.
Jim Breen: Next question please.
Operator: Your next question comes from the line of Greg Williams with TD Cowen. Please go ahead.
Gregory Williams: Great. Thanks for taking my questions. We're all trying to size the total addressable market of AI and you did a good job of articulating those three phases. Maybe we'll start just with that first phase and all these deals are more dark fiber, as Christa. So really, I think the addressable market would be how many new data centers are they creating? And we are talking a stab at it earlier this week in some reports. And really the better way of asking you guys how many new data centers are you feeding roughly $4 billion to $5 billion of deals? Is it like 10? Is it 30 ? I'm just trying to get a sense of that, and it helps us with our scope? Thanks.
Kate Johnson: I mean we're not tracking that really. What we're tracking is across the group of technology companies that we're speaking to, which is at this point in the dozens, what do their needs look like? What are the synergies between the requests that we can drive economies of scale and how can we drive to closure as fast as possible so we can group them in those ways by route, and by how operationally we can deliver upon these. The one thing we do look at when we model it out is where is the power. Data centers need power space cooling and fiber. And I think the energy piece of the equation is where can you build a data center that you can deliver a green footprint because there's also that piece of it as well. And so it's pretty complex.
Jim Breen: Next question please.
Operator: Your next question comes from the line of Frank Louthan with Raymond James.
Frank Louthan: Great. Thank you. Maybe you can give us a little more color within this sort of $5 billion group, can you give us an idea of the largest deal as a percentage of revenue? And then as it relates to the $5 billion in bookings here, what do you -- what's an average annual bookings? And how much is it up this year, including the PCF deals?
Chris Stansbury: So yes, in terms of the biggest one, again, that starts to get close to really starting to disclose stuff around customers because if I give you that, then it's just a guessing game as to which customer it is. And that's not fair to the customer. And frankly, it's sensitive information for us. So we're not going to give that. As it relates to the bookings, I want to make sure I understand -- are you asking that once we get to scale, how much -- how does that relate to what we're selling today? Is that the question?
Frank Louthan: Well, it seems -- maybe I'm misusing the terms here, but it seems like you've done $5 billion in sales for here, which sounds like a bookings number. Not necessarily something hitting revenue in the income statement. What is -- I'm just getting an idea of what the incremental upside from that -- from bookings is in 2024 versus, say, 2023, inclusive of this bump from the PCF deal?
Chris Stansbury: Yes. I would say from a modeling standpoint, I would think about that as largely all incremental. We always sell dark fiber. And I think the dark fiber run rate I'd have to go back and check frank because I don't know off the top of my head, but ex these deals, dark fiber is obviously in the grow bucket, and we continue to grow that segment. But this -- yes, we had the state of California in the fall that we mentioned, right, so that was a big deal. But again, we've done those in the past, and we'll do other deals like that going forward. This shift that we're seeing right now, which, quite frankly, I don't think comes as a surprise, right? There's been so much research and communication around the amount of investment required to support AI. And everybody forgot about the fact that the data doesn't originate in the data center and stay in the data center, right? It's got to get in, it's got to get out. So what we're really seeing is that now finally being realized and I'd say that's largely incremental.
Frank Louthan: Okay. And one quick thing. Did you -- can you clarify the split and the increase in free cash flow between the asset sale and the upfront cash?
Chris Stansbury: The asset sale was, I think, after tax, $190 million.
Frank Louthan: Okay. Thank you.
Jim Breen: Next question, please, operator.
Operator: Your next question comes from the line of Eric Luebchow with Wells Fargo. Please go ahead.
Eric Luebchow: Appreciate you taking the questions. Thank you. So you talked about getting back to EBITDA growth in 2026 after a step down next year. How should we think about the visibility of getting back to revenue growth, given the trajectory of bookings you've had. And it sounds like these PCF deals since they'll be amortized over a very long contract duration. They'll certainly help revenues, but I don't know if there are enough to really get you back to revenue growth by 2026 as well? If you could kind of talk through the moving parts there? Thanks.
Chris Stansbury: Yes. So again, I don't want to get too close to guidance here. As we've said, revenue will obviously lag the EBITDA turnaround because of our ability to drive significant cost takeout as we fix broken, right? And we go from four networks to one. So the timing on the revenue, we -- I guess what we said most recently is that that's going to lag by at least a year. And I think that still holds in this situation. But again, the comment that I made, I want to be really clear about this, around kind of directionally 2025 and 2026. To be very clear, that excludes the $7 billion set of discussions we're having right now. right? We don't count that until it comes in because just like this first batch of deals, they're very hard to predict. One, what's required to deliver them; and two, what the timing is.
Eric Luebchow: Yes. Understood. And then just one follow-up. These new data center deals, the ones you've announced and then the ones that are in your pipeline, you tied them to the intercity fiber investments that -- where you'll double your fiber capacity over the next handful of years. We've heard a lot about data center deals moving to more further out rural locations given power constraints in a lot of markets. So can you talk at all about like splits between middle mile, long-haul fiber versus metro fiber this in your pipeline to support these types of deals given data center deals are being done in further out locations, it seems based on what we've seen? Thanks.
Chris Stansbury: What I'll say is this, our network, one of the reasons why it's so attractive. And by the way, when I say network, it's fiber and in some cases, it's conduit, right? It's this vision that was built 25 years ago. And now because of the advances in fiber technology, we have the ability to monetize it. So it's both. It's both of those things. And so I would say the strength of both the inner city and the metro that customers, broadly speaking, are wanting to access. And as we continue to invest in things like waves, it will be to deliver against both of those. Wave customers want two things. They want to get where they want to get, and they want to get there quickly. And I don't know if anyone else in the space who is investing the kind of money that we are to make sure that happens.
Jim Breen: Next question, please.
Operator: Since there are no more questions, I will now turn the conference back over to Kate Johnson, CEO, for closing remarks. Please go ahead.
Kate Johnson: Thanks so much. To wrap, it's an exciting time for Lumen as AI charts the course for our pivoted growth, and our future is very, very bright. Thanks for joining today. We look forward to meeting you at the upcoming conferences and updating you on the significant progress we're making in transforming our company. Have a great night.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.